Operator: Good afternoon. This is the Chorus Call conference operator. Welcome, and thank you for joining for the Nexi's Third Quarter 2021 Financial Results Conference Call. As a reminder, all participants are in listen-only mode. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Paolo Bertoluzzo, CEO of Nexi. Please go ahead, sir.
Paolo Bertoluzzo: Good morning. Good morning to everybody on this call and thank you for joining us in our third quarter results session. As usual I'm here with Bernardo Mingrone, our CFO; and Stefania Mantegazza, who is leading our Investor Relations. But we have also a few other colleagues connected in here with us in case is needed. As usual, I will start giving you a little bit of an update on where we see the volumes going and evolving on the back of the evolution of COVID. And also give you a short business update with focus on merchant services. Then I will handover to Bernardo, who will cover financial results, I will come back to give you a quick update on where we are in creating the European PayTech leader and bring the new group together. And obviously, I will conclude commenting on guidance that, as you know has been confirmed for the full year already. Before I go in, let me remind to everybody, this is the first time for us in presenting the aggregated numbers of Nexi and Nets. Last time, you may remember Bernardo gave you an overview of what pro forma the profile of the new group would have looked like to kind of introduce the topic. This time we are reporting integrated Nexi+Net. We will cover the performances by region, which will give you an indication of how things are going. We probably make a few more comments on the standalone performances. But as I said, we are reporting for the first time in integrated way. And then at the end of the presentation, we'll have time as always for your questions. Now let me start as usual with key messages at Page 3. The three messages basically are enforcing the same three messages we had over the last couple of quarters. Number one it search continued volume recovery and acceleration across the various geographies. In Italy, we continue to see a strong volume performance with Italian Cards, growing anywhere in between 20% to 25% versus 2019. That again, I remember to everybody is always our benchmark here because this was recorded here. Next quickly we’ll seen also a good recovery in the Nordics that came back to positive over the last few weeks as a total, with some stronger performances across many sectors, the DACH region is still recovery is not back to the previous level at full but actually we’re seeing a strong basic consumption growth. And also a more recently, we've seen the discretionary sector coming back to positive here to travel sector impact that for our business there still relevant in volumes is the one that is still behind, although recovering it. Third point, we see an acceleration of stronger in SMEs than in the LAKA. This has to do also with the different profiles of different sectors in terms of mix of SMEs and LAKA, but we believe this is really positive for our positioning and for the outlook as well. And last but not least, we continue to see clear signals of acceleration of cash to digital payments transmission across all sectors and visible in all geographies, also the ones that are already more penetrated. Message number one. Message number two. Also in the third quarter, we've seen a stronger and growing financial performance. Revenues for the group were at 10.1% in the quarter, and acceleration versus the previous two quarters for a total of 9.6% in the nine months. We've seen in particular strong revenue growth performance in Merchant Services & Solutions for both Nexi and Nets, and similar levels of plus 12.2% for the total in the third quarter 10.6 year-to-date and again, here you see an acceleration. E-commerce revenues were particularly strong at plus 32% despite the fact that the travel-related sectors are still affected by COVID. EBITDA in the quarter was up 14.6%, up 12.3% from the beginning of the year with continued margin expansion that in the third quarter was 53%, up 2 percentage points versus last year. Third message, we continue to progress in the creation of the European PayTech leader. SIA has reported again stronger standalone performance and we will comment on a dedicated page. As you know, we have received the antitrust approval on October 14, on the combination of Nexi and SIA, and the closing now expected by year end. In the meantime, we have closed the deal with Intesa on the UBI Merchant book. Yesterday, we've also signed the deal with Alpha Bank to create a joint venture, the Merchant Services feel increase closings expect that at some point in the second half, probably the second quarter of -- sorry, in the second half, probably the second quarter of next year. And last but not least, we made -- with them as small but actually strategic investments for our future in a company's called [indiscernible] and is the leading DACH commercial software solution for hospitality sector presence also in other geographies. It is more investment talking about €16 million. We've increased our ownership from 20%. We were already there to 40% with a clear path to control. And we're very happy for this because it's the first real FML test for us in entering in a deeper way the software space, especially for SMEs, starting from Germany, this is a very strategic market for us and expanding in other places, as well. On the back of all of this, we’ve confirmed our ambition for 2021 on the Nexi Nets combined. Level of revenues, we expect them to grow at about 10% year-over-year, and EBITDA, we expect EBITDA to grow at 11% to 13% year-over-year. Now, before I go into volumes, let me jump to page 5. As a quick reminder, this is new profile of the Group. We have a group that sees about 60% of the revenues in Merchant Services & Solutions with a strong exposure to e-commerce. 29% is what we call Cards & Digital Payments and the remaining 10% in, what we call, Digital Banking and Corporate Solutions. Second, the group is highly exposed to market with super strong and very, very long term and secular growth opportunity in digital payments, 31% is -- of our revenues are in low penetration markets such as; Italy, such as Germany, such as the Central European ones and Southern European ones. Number 3; 64% our revenue is coming from volume and the 36% from installed -- like type of regional like monopolies that we have a fairly strong operating leverage. Now let me jump into volumes [indiscernible] and then I will give you a highlight on what we see happening in the other key geographies. Page number 6 is usual page, the dark blue line is the total here. We're focusing on merchant services, where we have more insights in the form the dynamics are more interesting. The dark blue line is the portal app. The lighter blue one is actually on Italian cards. The grey one is an international charging for visitors to Italy. Here you see that, after the summer we continue to basically grow revenues compared to 2019, anywhere in between 20%, sometimes we’re also above 20%. And here there is a clear strong contribution from Italian cards have been growing anywhere in between the 20% to 30%, over the last few months. I would say particularly interesting is also the dynamic in the international visitors cards. Here you see that you had a very, very fast recovery in the summer leading to August where we went back to the levels of pre-COVID mainly driven by European visitors, with Americans and Asians. being still not presenter or presenter in a very limited way, then with a slow down again, but then with a strong recovery over the last few weeks. The -- this dynamic is probably explained by the fact that the touristic side of international travelers is recovering fast. People are really keen to try as soon as they can do it. Well, actually the business traveler dynamic is still behind and therefore, depending on the moment of the season, probably we will continue to see these dynamics happening. Hopefully, the recovery of October is also due to the fact that we have -- we had lesser features also for business travelers. So it's a combination of business travelers coming a bit back and actually holidays in some countries in Europe in the latter part of October as well. Jumping to page 7. We have the usual split by macro sectors. This is the total, so this is not separating Italian cards versus International cards. Other sectors are also affected by the dynamic that it was explaining before. Here we see very strong continued growth in the busy consumption sectors like groceries, utilities, medical, and so on, so forth growing anywhere around the 30%, 34%, 37% in the last week.  And we see the other two sectors now moving kind of similarly anywhere in between, I would say 5% to 10% year over year with a super strong recovery, I would say definitely faster than expected that in particular in the impact sectors and I would say in particular in restaurants and bars. So, this is the dynamic we're serving. In Italy, we'll come back in a moment to give you a bit more insight on specific sub sectors that we think is interesting. On page 8. We see instead the dynamics -- we observe the dynamics in the Nordics area, and in the dark region. If you just take the total before going to the sub-sectors space, we have observed a plus 12% growth in October across both -- across the net if you like, geographies, 12% growth for SMEs versus 2019. LAKA instead was still behind. But actually, if you strip out the effect of the entire construction sectors growing as well plus 8%. Last monopolies, we also see the recovery in issuing now growing at 5% in net geographies, and basically [indiscernible] relating to the Nordics. As we're talking about the Nordics here, you see in the top graph, the dynamic Nordics heading back to positive from September, and actually going further in October as a total they've been growing 7% versus 2019. In terms of volumes, actually, in the last week is even was actually double-digit with 12%, very strong and continued performance on the basic consumption sectors above 30% or 45% in the last week. The discretionary consumption sector trending a bit slower, but now close to zero and a good recovery over the last few months also for the high impact sectors over the last month and minus 1%. Last but not least, in the back region. And here are the most of the bonds are actually associated to Germany. Here you see a continued strong performance of growth in the basic consumption sectors. You see actually discretionary services going back to positive 8% last week, 2% in October versus 2019. Here the sector is still behind is actually the one that is related to travel. And here in Germany, all this is an important impact on the total mix. And this is one of the reasons why -- the key reason why actually Germany is still behind the compared to 2019 volumes. So this is the topper feature page 9, dig more into the specific sectors to reinforce the point that I think we've made over the last many calls. I would say that that we have been observing underneath these COGS related dynamics, a very strong acceleration of the transition from cash to digital payments, not only in underpenetrated markets like Italy, but also in more penetrated market like the Nordics. And here you see on page 9 a few examples here with the picture from top to bottom. The top eight sectors for markets. Some of them may be of less relevant in size. But here you see actually also very relevant sectors. I think its restaurants and bars in Italy, 34% growth or groceries 25% growth, nicely growing all double-digits next to not some very special ones like doctors. It's 2%, for example/ Nordics similarly, groceries 23% -- 25% versus 2019, again for a market that we tend to believe that is already highly penetrated. Peak is a big positive in our opinion. And you see some more specialized in smaller sectors such as for example, cosmetic [indiscernible] growing at 48%, 59% and so on. Last but not least also in the dark region groceries were 49%, also restaurants despite some limitations being still in place at 13% and many other sectors growing double-digit with actually departments stores were growing triple digit, but I would still look at it with a lot of sympathy that is falling off the bench – the benchmark for the other sector looking out for now. So this is basically the picture in terms of volumes. Before I hand over to Bernardo, to cover a financial result, I'd love to dive with you for a few minutes on the dynamics and the key initiatives that we're observing, impact in merchant services that as you know is more than half of our revenues and is always up here folks, not just for us but also for you and for investors as well more broadly. And here we try to give you a little bit of a feeling of what we're doing in the different segments. Every quarter SMEs that represents almost 60% of our revenues in national services, e-comm that represents about 25%. And also like a – that is a bit less than 10% of total revenues. If you're asking yourself why those are mapped to an 100, the reason is that there is a 7% that has to do with acquiring ATMs as we call it cash, and that is not allocatable to any segments, for simplicity reasons they are located posture and as a revenues to SMEs because most of it is really SMEs. Now going one-by-one, in SMEs, we see acceleration on our digital proposition and in Germany, positive results in Germany, on the back of the very positive results we had in the Nordics, as well as in Italy. We're promoting more and more the mobile POS proposition for new to merchants, subsector. At the same time, we are very successfully pushing on vertical proposition in the specific sectors we started in Italy, with dedicated, go to market for a very narrow verticals, for example, restaurants, cafes, hotels, retail, and so on, so forth, where we package a very often from the distribution, go to market point of view, but sometimes also pricing and product itself. And this is really eating the ground well with customers. At the same time, we are increasing our focus on ISVs [ph] and more in general at the software space. And here, basically, there are two things we're doing on the one side, we're expanding our partnerships, across all geographies, I would say with is ISVs. And if you count them across the board, we count them actually for this call. It's actually more than 500 partnerships in the ISVs space. And that meets all the financials with local leaders on merchants, CRM and ERP software's for example, ThinkSystem just to mention one and many, many, many smaller, much smaller vertical specialists that very often our local companies as well. I mean, normally partner with the technical integration, some of them we do also go to market together. As I anticipated now with all the birth we're going one level deeper as – now we will integrate more on the proposition side as well, and we will test it in one segment – in one market that expanded further as we go along. In the SME segment, basically, we have not seen any major news in terms of competitive dynamics. We know I mean, we discussed it in the past that we have important competition in the new to -- new to digital payments segment and there’s smaller merchants that have started to use digital payments for the first time, in particular, in Italy, in particular sales in Germany from or basically one player. That is some app that actually successful in the market in winning a number of customers. But actually the value associated with these customers, even the size of them is normally very small. We have also increased in Italy, our focus in that segment, and we're actually quite successful, we've doubled our acquisition volumes, but you're also focusing in within backup these customers as they grow. And when they need the proposition these more structural and more completed. This is it in terms of SMEs the volumes across our geographies were up about 14% in the quarter compared to the same quarter 2019. E-commerce which represents about 25% of our arrival using Merchant services seeing a lot of dynamics, a lot of new players coming, some of them going as well, to be honest with you, and by the way, it is a sector where we have a new segments and new propositions emerging as well. We maybe talk more about it in our Q&A sessions. But let me give you a flavor of what we're doing here. First of all, when it comes to the more PSP like type of proposition for the sector propositions, we are launching it easy in Germany after a pretty good success in the Nordics as a collecting PSP proposition at the same time, we are extending our PSP proposition -- capability in Italy, it's called its pay. And we are expanding this proposition also on the back of the experience and the capabilities that we have in net for example, in one feature counts and part three onboarding. In the nine months, our E-commerce activations in Italy has been up 70% compared to the same period two years ago, just to give you a flavor. At the same time we are seeing a lot of activity in the alternative payment method space here, our angle is to folder, we know, we own alternative payment methods, and at the same time we partner with third-party payment methods to make them available through our gateways to our merchants and customers. If you focus for a moment on council accounts propositions, we actually have a very strong position a successful position both in Poland, Finland, and they're growing very, very strongly. At the same time, we are onboarding more and more accounts to accounts solutions to our gateways for example, bank Matteo in Italy. Similarly in buy now pay later, we have a very strong proposition Coveratae [ph] in Germany on the proposition, that proposition is growing very, very strongly. But again, is a proposition that is made available not only through our gateway solutions in Germany, but also to basically every other national international PSP active in the country. At the same time in the other geographies, we are partnering more and more with PayTech providers because at the end of the day as a PSP, we must be able to offer all possible payment methods to our merchants, customers, in order to allow them to basically maximize their conversion rates at checkout. Last but not least, we continue to strike partnerships with E-commerce enabled platforms, across all markets. We have about a few more than some partnerships across the group, many of them are with players with a presence in more than one market. Today, recover about 76% of earlier market, today eCommerce and they discover across our geography about 10% of the volumes that basically serve the Chinese in the micro merchants, the micro in eCommerce, recover through technology integration, and in certain cases also go-to-market partnership 36% of that. Again, here volumes are growing 13% despite the travel related sectors still being suffering. The reason why the growth rate of revenues is actually well above 30% is because when it comes to account-to-account and buy now pay later solutions that we owned the growth rate is very, very strong, it's contributing to the total growth. Last but not least, the LAKA segment represents about 9% of our total revenues in Merchant Services. Here, we don't see any major news in terms of competition. Obviously, we continue to see active -- very active players like, again, in very specific segments of our business segments of the global brands, in particular, I would say luxury and in fashion. To be very clear, we continue to compete successfully and win in the sectors that is – that are more local in nature, such as, for example, food retail, household goods, mobility, insurance, public administration, and so on and so forth. Basically, we continue to win where the physical components of the omni-channel solutions is actually irrelevant for this companies, where they need -- the complex needs in terms of terminals and terminals acquiring acceptance of integration, where the local integration with local payment methods is important, where the vertical sector integration is important, where customization is important. At the end of the day, that's the core of what we do, thanks to our local entrenchment. And here we continue to serve successfully not only the local large merchants, but also a global brands that are present in market with a characteristic that just described so across our geographies, recover and settle server merchandise, such as, for example, IKEA, Sky, makeup long-boarder from Zara, I mean names that are clearly international names, but require very specific local support, integration and delivery. Now, before I move on, let me use one example of something that we have announced yesterday is actually today's mall. But I think is also a good example of what we see as the core of the nature of the new Nexi Group. I think we said in the past, in many -- one trunk researchers that at the end of the day, our strategy is quite simple. We want to combine the scale that is necessary to drive hard innovation, digital innovation in particular. And we understand competence is important. Investments are important for when scale. So let's remain competitive with the global players, specialized players when it comes to product proposition innovation, but at the same time, we also want to be very, very locally entrenched. Thanks for our people. Thanks to the ecosystem integration that we have in the different geographies. And one simple example of this on top of the many given to you over the last few minutes, is to do with the product we launched yesterday, it's called the PagoInConto is available as a pay-by-account. It is a very nice product because it is an account-to-accounts of payment product that we are making available to begin with an eCommerce, but will be available also on omnichannel solutions for LAKAs and SMEs as well. This is actually integrating many capabilities, it's very enacting, not only merchant services, but also in the payment space -- European banking space. To also deliver a solution that we're making available to our PSP merchant customers and I believe the progressive also to other PSPs that wants to operate in Italy. And this solution is basically leveraging open banking enablement so that we provide because we are a provider of digital banking system for Italy, our capability in this space, plus our local licenses, plus our local integration, plus our local capabilities on E-commerce side, and basically a merchant can offer the opportunity to its own customers to pay by the bank account without registering on anything, because thanks to open banking, they become -- the customer, we find a click bottom on the checkout page. You click on the bottom, then the basically the page of the bank will open, the customer will identify himself with the standard identification method of the banker and the transaction will happen, because it will be pre-already filled on the different components in the transaction itself, and the reconciliation will happen automatically. Again it's a small thing, but I believe it gives you an idea what it means we're now adding global scale, but also being locally entrenched and integrated. Clearly, this is targeting not necessarily this low transaction, but actually the last transaction because being paid by accounts, you can save for the moment up to €50,000 per transaction and going forward even more. Let me now hand over to Bernardo. Sorry, if I took a bit more time here, but I really wanted to try and give you a flavor of what is happening in this space. Bernardo?
Bernardo Mingrone: Thanks Paolo. So, just we'll try to be quick here, so leave as much space as possible for Q&A. Starting on slide 12, we've seen how revenues have grown approximately 10% in the quarter and 10% for the nine months. As Paolo said earlier, this is how -- what we discussed in terms of volumes and in terms of the business updates translates into the financials. I think it's important to underline how growth in revenues was very similar to both Nets in next year, I guess that's the message I would like to leave you with. In terms of EBITDA, we can see there's been a two percentage point accretion year-on-year in the quarter and same applies if you look at the other nine months. Most of this accretion actually comes from Nets. We have less of an accretion this year on Nets. As we've discussed in the past, due to the fact that we're unwinding or let's say, there is coming out of last year, we have the effect of certain costs, the cost cutting exercise we had last year, which impacts our growth and costs the next -- this year as expected. So, two percentage points accretion, which is in line with our expectations. On slide number 13, we see how the various geographies performed Italy, Italy is strong -- strong performance in the quarter with 12% growth accelerating compared to compared to 12% salary versus 2019. Accelerating compared to 8% we had in the first nine months. So, again, good signs of recovery from COVID. DACH in Poland had even stronger growth. We have an 18 -- close to 18% growth and nine months; 19% if you look in the quarter, actually Germany growing more than Poland, thanks to the strong exposure we have in Germany to E-commerce and BNPL, which Paolo also referred to earlier. In the Nordics and Southeastern Europe, it's slightly different dynamic. Again, there is less exposure, I would say to E-commerce compensated in Germany and Poland for the slow recovery in terms of coming out of lockdown in some of the former -- or in some of the geographies, and that's a present thing. Plus as we will see later, the effect in the Nordics of the -- as we mentioned in the past, the fact that we have renegotiated last major contract at Nexi-SIA and that is hit us in 2021. Moving on to the various divisions on slide 14, we have Merchant Services & Solutions where we've had a very strong quarter with double-digit revenue growth across the group. And this is true, as I said, both Nexi and Nets level. Nets have proved to be extremely resilient in all geographies. We can see that transactions have recovered very nicely throughout the group and we have 15% year-on-year growth for the nine months. And this was only partially offset by slightly slower growth in some of the other geographies, due to the different phasing of lockdown. I think it's important to underscore how eCommerce has continued to grow nicely. We have 37% growth in the third quarter this year, 32% for the nine months. And this is also sustained as I said earlier where we have strong performance in Germany and Poland. Just a word of explanation with regards to a trend which in the past has been different in terms of the growth and volumes of international schemes which is lower than the overall volume growth. This is due to factoring into the domestic debit cards now being able to transact consequence transacting on the domestic scheme rather than the international schemes and this is causes this inversion of the trend. On slide 15, we can see the data for Cards & Digital Payments. Even in this division, we have good revenue growth. With good volume recovery, here the volume recovery, as you can see is what we're more used to, where the trend that highlighted earlier of the shift to domestic debit cards on contactless transactions is more than offset by the fact that we are moving some of our -- we're progressively moving our Domestic Debit Cards into International Debit Cards which fuel the growth in international schemes. But overall, we have strong growth in the quarter also in Cards & Digital Payments. Slide 16, we can see how DBS or Digital Banking Corporate Solutions is now called performed in the nine months. This we've discussed in the past is division in which project rated revenue which is recurring by nature, even though it's not contextualize but every year we have project work for our partner banks, mainly in the various geographies has been that from a seasonality perspective, real present in our P&L more in the first half of the year. Hence, the deceleration you can see from 11% to 5% or so 11% for the first nine months and 5% for the last quarter. Overall I would say that, performance has been has been in line with our overall expectations maybe need to be, we have had a bit of a slow down, which will also impact us. It has impacted us this year on multitasking, as they were discussing a potential transaction with UniCredit that is no longer the case. So hopefully, we'll recover some of the lost revenues there in 2022. Slide 17 shows us the cost dynamic, I think it's important to look at the comments we put into the side of this, of this slide where we try and give you a picture of what the cost dynamics really look like if we normalize for last year. I mentioned earlier that the next year we have reminded you that next year we had a cost containment program which was €100 million of cash cost cut last year to protect our P&L and our cash flow. There's some winds this year and hence we have a bounced back of fools on variable compensation bounced back of travel expenses and the likes. If we normalize for those, I'd say through items in HR costs, for instance, the overall HR costs would actually be flat year-on-year. There's some slight, let's say, increase due to the generalization of people who were hired last year. But overall, basically flat HR costs if we normalize for variable comp. With regards to other non-HR costs, these will be up 1.4% if we normalize for the growth and volume. So effectively, obviously, revenues are growing, we've seen double digit, our cost base grows by 1.4%. So, if we take out the growth in volume driven processing costs that's something to fixed nature of most of our cost base. With regard to say, the net debt position of the group, we should look at it with SIA or at least a look at it with SIA included we have received antitrust approval, and Paolo will speak to this in a second. But basically, now we have the uncertainty if we look at the combined numbers, both of net debt and EBITDA, so as adding on to our last 12 months, the EBITDA also SIA is €327 million of EBITDA for the last 12 months. And we include SIA €820 million of net debt, our overall ratio is 3.6 times leverage, which is three times if we include also run rate synergies, which we announced as part of this transaction. And this we expect to unwind pretty quickly and deleverage with profile we highlighted at announcement. Just a reminder that three quarters of our indebtedness is fixed rates. So moving into, let's say, potentially high rate environments, I think we feel pretty comfortable with regards to our capital structure. So that said, I will pass the floor back on to Paolo, so he can take us through the M&A update and closing remarks.
Paolo Bertoluzzo: Thank you Bernardo. Page 20, quick update on SIA reported over the last few days the results for the core firm, the revenues were up 9.3% and EBITDA was up 12.9%. So very close to the rest of the group performance. Year-to-date results are even higher than these, I think has been anticipated at the beginning of the conversation around SIA, first half of year is a bit richer than the second half, basically due to phasing, and very specific event and nothing to do with underlying. As far as it engine is concerned, as you know, the talented trust has approved the deal on October 14th. There were remedies specifically in the areas that are connected to national products. And this is an ecosystem with -- what our expectation and what we believe is very much correct. In terms of remedies, there is only one of them that is structural, and that remedy has to do with what I would call the national clearing non-SEPA clearing, to be precise the size of that business is about €6 million of revenues full year about €2 million to €3 million of EBITDA more or less by the way revenue is declining because we're talking about products such as for example checks. We will be, obviously, implementing – work implements these remedies as we speak. And we expect to close by the end of the year, we still have two or three authorizations missing, but it tend to be either a bit more technical or in any case you at the end of the processes for example, you can instruct exchange regulator for the approval of the prospectus and everything else is in line in terms of preparing for the execution of the closing in these timeframe. On page 21, you have a bit broader update on what is happening on the various fronts. You may remember, we did tell you in the past we are restructuring our transformation plan on different works stream and so and so forth. Quick update on the technology side, basically we already have a one new group technology plan and already started to execute around some areas for example, CapEx [indiscernible] pulling together now group digital delivery under one Harbour optimizing infrastructure ready to execute processes platform consolidation, as soon as we close SIA and many other areas of initiatives. As far as institution operation action is concerned, we have already started to optimize to know the management in the SIA side and we are ready to execute the full integration in SIA in Italy while there are many other operational excellence initiatives already ongoing. As far as procurement is concerned, we start working on these two months back. And we have a very detailed plan defined and we're already closed already 12 strategic revenue sessions. And as far as revenue synergies are concerned, we touched on a few of them before, but our teams are already working together starting from the lower hanging fruits. And even on the SIA side we did use a clean team approach to prepare a very detailed commercial plan to be able to go out as soon as we close in upselling selling more products and services to our customers in Italy to begin with. All in, we expect to have synergies for about €100 million of cash for next year. Important part of this is CapEx as you can imagine is that one of years where it's easier to optimize and faster to optimize, but we're progressing on all initiatives here. I'm talking about one of the new Europe cash synergies in the year and therefore obviously the exit rate would be much higher than that. So let me now move to page 23. In short, we are basically simply confirming the guidance that we gave you last time when we talked for the first time about the new aggregated group. This is valid obviously for Nexi and Nets. And I just remember that we did upgrade our guidance at quarter one results that when we were talking about Nexi wholly and we're now confirming all of this. 10% -- about 10% revenue growth in the year about 11% to 13% EBITDA growth with margin expansion, both versus 2120, 2020 and even more 2019 it was a more normally about year about three percentage points versus 2019, broadly stable capital intensity ratio with anticipation of M&A synergies. And last, but not least, the [indiscernible] you continue that cash flow generation and progress deleveraging over the long run starting from new level that is exactly in line with what the plan was with what we've announced when we did say that is with SIA and Nets. So page 24 I will not go through all of it again the key messages for today continue recovering acceleration of volumes across all geographies with clear signals off acceleration of cash to digital payments across again all geographies. Very strong financial performance with double-digit revenue growth in the quarter and further margin expansion as well and a particularly stronger performance in Merchant Services and solutions. And last but not least, progressing according to our plan and marching ahead in putting the new group together as a combination for Nexi and SIA. And last but not least, as I just said, have confirmed the ambition for the full year. I stop there and open up for your questions.
Operator: Excuse me. This is the Chorus Call conference operator. We will now begin the question-and-answer session. [Operator Instructions] The first question is from Sebastien Sztabowicz with Kepler Cheuvreux. Please, go ahead.
Sebastien Sztabowicz: Yes. Hello, everyone, and thanks for sticking with the question. So I know it's a bit too early to provide any precise indication for 2022. But just wondering, if you could help us a little bit to understand the dynamic beyond yourself and your margins moving into 2022? We are seeing DACH or Nordics category recovering. Is it reasonable to assume a kind of acceleration of the trend moving into next year? And the second question would be more on the competitive landscape to understand a little bit what is happening in your main market Italy? We discussed a couple of time competitive landscape, but on your new markets like Nordics or DACH, who do you see usually in those market? And do you see any stock growing acquires in those markets moving from online to installs and trying to compete on the SMB, or it is not already the case? Thank you.
Paolo Bertoluzzo: Hi, Sebastien, and thank you for the questions. So, listen, 2022, we'll talk about guidance for 2022 in February. That's when we’ll try to give you our view for the year. I think when we said -- when we did, announced these, we said that our ambition was to obviously increase the speed of growth of the company in a larger and more resilient perimeter. Our previous pre-COVID, if you wish, guidance was a 5% to 7% of revenues, and another 13% to 16% of EBITDA. Our plan is to do obviously better than that on the back of the new context and the new group profile. Then, every single region has its own dynamics. Clearly, we see it as we are preparing the budget, as you can imagine, we’re actually having -- in terms of volumes, we have good expectations from the Nordics. But then there are many other specific dynamics that have to do with specific -- contract specific areas of investments, so on and so forth. So I would really prefer to wait and give you more detailed commentary when we come to February and within a broader picture. But I believe that what we're observing, as we speak, and the data that really show you in terms of specific individual sectors are confirming that we see growth potential in the Nordics as well on top of, obviously, Italy or Germany, and obviously places like Poland or Central Eastern Europe. Listen, when it comes down to the dynamics in the other markets, I think, that in the other markets we are seeing a little bit dynamic that I mentioned before. I mean, in the SME space you see these new entrants, but to be honest with you to really more as a map, we don't see, for the moment, in our geographies other players becoming more visible or more aggressive. So there's a competition that we know and is very much focused on you to carry segments. In the e-commerce space, you tend to see a little bit the same players around them in the strikes, and in the papers. And you're like say, no major new dynamic there, clearly try making more in roads, the smaller merchants on the back of the strong partnership with them in Shopify, in the markets where Shopify is strong, but you said before now we're also strengthening our position for the partnerships with the other content management systems in e commerce enablers. And when it comes to LAKA, I would say a bit more of the same of what I said before, also I couldn't be more presence and in general international acquires being present, but nothing really major. As you know, by now, it is becoming a bigger phenomena and we are actually benefiting from that ourselves with REPe [indiscernible] is becoming a more active in the Nordics and also in Germany as well. You know, it's a few successful in Sweden where honestly, we're not very exposed as discussed in the past. When it comes to the online players moving more in store in particular SMEs, to be honest with you for the moment, we don't see a lot of movements. You don't have yet any purchase successful case of our PSPs or account who can’t provide [indiscernible] providers in SMEs. SME space, which is actually as you're seeing the vast majority of our of our revenues in metro services, remains a very, very specific space is very local, is very still very much connected with a banks, requires a lot of specific attention. And the more you segment, the more realized that becomes even more local somehow. So we'll see nothing being in you from that angle.
Sebastien Sztabowicz: Thank you, both.
Operator: The next question is from James Goodman with Barclays. Please go ahead.
James Goodman: Yeah. Good afternoon. Thank you very much. Just looking into the fourth quarter firstly, I mean, you've reiterated, clearly the guidance for the year 10% growth in previously specified an H2 growth together, I think was 11% to 13%. And obviously, you can sort of do the calculation around Q4. But I guess my question is, is it fair to expect an acceleration, perhaps across all your geographies into Q4? I mean, we've got a weaker comparison base, I think in the Italian business and to the progressive reopening across the Nordics, particularly DAC, I mean, given the travel exposure that you have there? That's the first question. And then maybe to sort of follow up on the EBITDA for the quarter and for the outlook, can you make a comment just on? I mean, we can see the revenue, I suppose more or less for next year net for the quarter. But can you just make a comment on the EBITDA performance between next year next for the quarter as we look out to the full year there, I mean you're sort of in the mid middle of your 11% to 13% range at the moment, but depending on what you say about revenues for Q4. Is there any reason to expect EBITDA not to sort of grow similar to revenues in the fourth quarter? Thank you.
Paolo Bertoluzzo: Hi, James. This is Paolo, Bernardo, you wan to take?
Bernardo Mingrone: Yes, sure. So the question on the fourth quarter is, and I'd say it's a difference between our guidance and where we are on the third quarter. So as we said, the math is pretty easy. And what we can say is that we expect the fourth quarter revenue growth to accelerate compared to the third quarter. And this is primarily driven by merchant services performance we expect to be strong in the fourth quarter and stronger if you want in the third quarter. Overall for the year, though, I would sit – I would take what Pablo said with regards to overall guidance, which is to grow revenues double-digit. The second question you asked was on – was it on EBITDA growth for Nexi and Nets. Is that right?
James Goodman: Yeah, just in the quarter EBITDA between the two businesses and yes, the sort of the relation – get in the fourth quarter between revenue and EBITDA?
Bernardo Mingrone: Yes. So in the third quarter, the EBITDA, as we said, when we discussed the margin accretion came primarily from the growth at Nets, right where we had a significant step up from second quarter, third quarter and 19% growth in EBITDA. I think that's what we would like to stick to for now in the comments. The fourth quarter EBITDA performance, having said that, we've confirmed guidance where you have a guidance for EBITDA growth as well.
James Goodman: Okay. Thank you.
Operator: The next question is from Stefan Uri [ph] with Auto. Please go ahead.
Unidentified Analyst: Yes. Good afternoon. First of all, I'd like to ask for an update maybe on the on the CFO says if you have any view on when you will start to consolidate CIO into the group. And the second question is also regarding Italy, where you said that there was a 20% to 25% growth? Do you see this trend continuing into 2020? And if you expect kind of health plan from the Italian government to o push further, this beneficial. Thank you.
Paolo Bertoluzzo: Hi, Stefan, and thank you for the question. Let me take the second one. And then I will ask Bernardo to cover the first one and give you more details to what I've already done. Listen, I think we're very happy what you're seeing anything in terms of growth of volumes, in particular on Italian Cards. We expect these actually to continue into next year the need for the comparison become more and more difficult. The reality is that, today you still have a little bit of limitations here and there, but honestly, even we project, the fourth quarter this year, we expect this continue to see a bit of further recovery and potentially, therefore, volume, acceleration. But we remain quite, optimistic on the outlook. Taking into consideration, the fact that even if – most of the activities – all the activities are still open – now open, you still have some kind of complexities for some of these activities. Guide initiatives, I think, as we've commented in the past, we believe Aragorn, we continue to support this because of the many, many positive contribution that gives society, the economy, taxation, transparency, and so and so forth. This government has decided not to -- basically stop the cash-back that was the most visible initiative. And, because basically it was not convinced on some of the mechanics and it’s obviously fine. As we said in the past, our plans, our expectations are not driven by that where we said the cash flow is a very good initiative, a nice initiative, but now basically changing the shape of our profile. The good thing is that this government is actually solve and implemented two more to newer initiatives that are more on the merchant side. And therefore incentivizing the merchants to basically upgrade their shopping limit and they turnout basically, and at the same time, basically for one year, they're also supporting new merchants, in terms of giving them the possibility that from the taxes the Commission's that they pay. So, changing direction on cash back, but actually, a confirmed belief of importance of supporting digital payments through I would say, the merchants and we are happily cooperating with -- as much as we can with the government institution preferably in implementing all of this and continuously provide further ideas and the opportunities. Bernardo, you want to color on the process one.
Bernardo Mingrone: Sorry. On SIA and in terms of the process, there's a bullet point on slide 20, where are we. We’re expecting Boffin approval anytime soon. It's pretty, I would say, administrative process here. There's actually a typo in the presentation. Danish investment authorities have approved the transaction and then we will need to have the prospectus -- the prospectus with the pro forma numbers approval rates Stock Exchange regulators similarly to what we did with Nets and that's what happened again somewhere in mid-December. So we now have, I’d say deal certainty given that antitrust approval, which was the one where most of the work needed to be done, has been obtained. And we're looking to close at midnight of the 31 of December. That means going back to your question we will be consolidating from the 1 January next year. So we will have a full year of consolidated numbers for SIA. And we will obviously -- as part of this provide you with comparison numbers for 2021, which includes SIA and Nets as if we had bought it from the 1 of January of this year. So you will have a same parameter and the same will go with the database that's puts on the website. And this, by the way, is also true for the UBI Book acquisition, which closed on the 26 of October but has retroactive effects from the 1 of January. And the same will happen when we close the Alpha Bank deal, which will be in the second quarter next year. So we will always try to make sure you have a meaningful like-to-like comparison in the same parameter. But the closing of SIA is mid-night this year. So from 1 of January next year, you have to consolidate the numbers in the actual accounts.
Unidentified Analyst: Okay. Thank you. I have a quick follow-up on Germany. Did you see any weakness in Q3 compared to what you were expecting? And are you concerned about the rise in number of COVID case that could probably or potentially have some impact on your fourth quarter? Thank you.
Paolo Bertoluzzo: Well, I think in Germany, we see super stronger as you understood the e-commerce in particular, say and in other areas as well. In terms of COVID, yes, I mean, you're right there on the fact that, in the third quarter there were still restriction in Germany more than any other geography, there is an index that is actually called the referential -- stringency index that is quite telling from this point of view and Germany was across Europe, as a country we still have restrictions and I was there two weeks ago and we could really feel it with a with an algo, you could really feel it from the smaller things in hotels, to the more visible ones. And this is actually, as we said before affecting, in fact, I would say the LAKA sector the larger merchants were as I said still an important exposure for the travel industry. And I would say there are two angles that are relevant that are I kind of intersect in between international travelers coming in and business travel more broadly. And as you can imagine, while in places like Italy, you have a huge amount of inbound from tourists. So international traffic being tourism in the summer, don't have that many people going to Germany to enjoy the summer, is actually the other way around. So, the traffic there is much more business related and these feel saturated. But again said so that we see, we've seen good recovery also there. Listen on what is happening these days, difficult to comment, honestly, I think that we need to understand exactly what will happen in terms of measures. I was reading before coming the new before coming into this into this call about cases growing again. But in same time, the measures that we're thinking about implementing were not really comparable to real lockdown and stuff like that. The things we're talking about asking the green tuff to enter in certain places like restaurants or clubs and stuff like that, which is started in Italy is already happening. So let's see, I think is really too early to see. To say I think the good news is that now we're more or less of the percentage of people back in are now high in the for -- with the cases increasing the impact on the health of the people is more limited and therefore hopefully we need the restrictions.
Q – Unidentified Analyst: Thank you very much.
Operator: Next question is from Hannes Leitner with UBS. Please go ahead.
Hannes Leitner: Yes. Thanks for letting me on. Couple of questions also from my side. Maybe on the partnership strategy with IASB maybe you can talk a little bit about the economics there and then also is their geographic kind of statistics around what is currently served by those partners? Especially then maybe it was a breaking down between in store and online? And then maybe you can give some more color on e-commerce growth for the group. You have stated here e-commerce revenue growth, but it would be helpful to understand also the transaction volume growth? And then and just in general, did you see throughout the quarter as it develop some shifts between instore and ecommerce?
Bernardo Mingrone: Hi Hannes and thank you for your questions. So let me start from the first one here. Maybe you can follow up more precisely. I think in general as I said these partnerships, I mean the referring I would say in every single geographies and probably they're actually a bit more new to enter, even if we are very active are happening with two types of players. The ones that are and obviously depends on the geography and let me give you Italian cases is probably a more closer one. If you take, it need to be a 2 type of players, the ones that are coming from the ERP systems, the CRM systems and they are keen to integrate payments and they are active across more sense from all possible industries, something that products are more specialized for certain industries. And we are partnering – we’ve been partnering with same partnership with two super key ones. The -- at the same time, we have a big more development with the ones that we call vertical ones. I don't know, I give an example PharmaComm that is serving pharmacies just to mention one of them. But we are talking about – I mean, in Italy talking about statistics, we have 48 of these partnerships today. Denmark more than 100, Sweden more than 100, Norway almost 100, Finland more than 100, Germany more than 100 and so and so forth. So there are many, many of those. Economic very lots depending on what is the ratio so something the Spanishes [ph] are more technical integration. So there is not a very specific economy Spanish in some other cases like the one I was mentioning before instead you have a go-to-market initiatives, invest together, go to market together and you share the benefit together. So very, very different situation but also evolving in an important way. As far as leverage maybe on the ecommerce volume and Ber you can comment -- Bernardo on the shift and it is a more qualitative question, but is a very important question I think. Here you see over the last few quarters, we've not seen any further acceleration of eCommerce in terms of people moving furthermore or even more from physical to eCommerce. If anything you add that in some sectors the direction -- the opposite direction, and therefore, people are keen to go out and shop again, in the physical world. I guess, obviously because now stores are open again, but more in general people being keen to go out and socialize and buy and eat in real places. I think another trend to more eCommerce remains there. But it's interesting because some of the acceleration that we've seen when COVID started as period of COVID now is going down a bit in certain cases looking a little bit but in general the trend will continue. Bernardo you want to comment on…
Bernardo Mingrone: Ecommerce.
Paolo Bertoluzzo: Yes.
Bernardo Mingrone: Yes, sure. I mean, we saw that revenues grow in the third quarter -- grew 36%, 37% from directly from slight we had in [indiscernible]. Volume growth was actually approximately 13%. You see it on slide 10 of the document. Within this clearly SME are going. LAKA suffers from the fact that LAKA has an eCommerce component, including cloud high impact, which is caused that actually to shrink in the quarter. So if you look at LAKA without the high impact it's actually growing 9%. Overall eCommerce volumes set of growing 13% and it's a mix of both.
Hannes Leitner: Okay, so it's about 25 billion ecommerce revenue -- volumes in Q3.
Bernardo Mingrone: Approximately 23…
Hannes Leitner: Roughly…
Bernardo Mingrone: Yes.
Hannes Leitner: Okay. Okay, thank you.
Operator: The next question is from Sandeep Deshpande with JPMorgan. Please go ahead.
Sandeep Deshpande: Thanks for letting me on. I didn't hear all the questions. So please, excuse me, if some of this was asked before. In your Nordics or in your overall business, you're saying that, the LAKA accounts are lagging behind the recovery compared to the SME accounts. We have seen quite a different effect that players like RDL maybe you can explain why Nexi is different in this regard especially? And then secondly, is there an explanation why you think that the dark regions are lagging so much behind in terms of the account under the recovery in terms of the volumes and thus the revenues as such? Thank you.
Paolo Bertoluzzo: Hi, Sandeep. I thank you for the questions Listen, on LAKA, the dynamic that we're observing is very much driven by the industry needs and is very, very clear. I mean, if you make it from the high in fact sectors like airlines to use a typical example, or travel agencies and so on, so forth. The overall volumes are going 9% compared to the pre-COVID levels, actually even more so, in places like Italy. And therefore you have growth coming back despite the fact that, there is still some – there are few restrictions around, I think that, the different dynamics that you observe with – again is probably driven by two elements. Number one is that, they are less exposed to travel sectors, I think more broadly. And number two you should also consider the fact that they're actually entering new markets. And expanding further the – if you are pointing precisely on – on the relative dynamics with a player like them, I go back to what I said before. Clearly, it is a very strong player that we immensely respects to be very, very clear. The company continue them to see them successful, when they play on a global merchanges, with global CRM systems integrated with a lot of alignment more limited in store. And we continue to be successful also against them, knowing instead that you have a more local and regional merchants, more local integrated that require local assistance and require more specialized solutions and more customer solutions and so forth. When it comes up to DACH, DACH is – is to as two elements that explain the dynamic there, and I think it's very visible when you go a page 8 of the presentation where you have the volumes for DACH by micro sector. And as you can see there on the one side, there is a mix effect and the mix effect as to do with the effect that Net – not Germany, but Net, was more exposure – seen more exposure in terms of mix of sectors or to the high impact sectors in terms of volumes and volumes to travel and airlines in particular. This exposure has been diminished over time. But still is relatively high exposure and the fourth is a mix effect in Germany, when you look at the other sectors instead. Now, you see a very strong performance in – in the daily assumption growing anywhere around 30% plus, versus 2019. And also not the more discretionary products and services sectors are coming back to growth. And on page 9 on the right, you see some very visible examples of sectors growing double-digits in that space as well. So I will say is more driven by the exposure to travel in the mix.
Bernardo Mingrone: I would say also follow the Italian SMEs were under penetrated. I think there's structural under penetration that which is -- we're now closing the gap.
Sandeep Deshpande: Thank you.
Operator: The next question is from Mohammed Moawalla with a Goldman Sachs. Please go ahead.
Mohammed Moawalla: Yes, sir. Good afternoon. Hi, Paolo. Hi, Bernardo, I had a couple as well. So firstly, just coming back to sort of the progression in the back end of the year, given the ease and comparisons and I think you've kind of grown broadly --broad based across both core Nexi and core Nets. Is the kind of, essentially you're claiming to be perhaps a bit more prudent or conservative? And if so, what is the kind of thinking behind that prudence? And then secondly, a question around, again, on sort of competition. And here, I just want and nuance a bit -- bit more in that -- there's clearly an appetite for larger merchants to take kind of more traditional omni-channel. But we also see the likes of sort of Aragorn moving in with a kind of platform approach to address the longer tail of the mid market. Now, what's your sort of strategy to sort of compete against that? And if I kind of nuanced that further, the Nordics is a fairly well penetrated market and we have a number of kind of digital first players there. So what's your sort of strategy to, to perhaps defend your position or even kind of grow your business there. And then the last one for Bernardo, when we look at the kind of EBITDA performance, this was quite strong. In terms of sort of the synergy realization of Nets, it seemed like those sort of mid-teens type cost savings. Could you give us a bit more color around where those savings came from? And as we as we go forward, what's kind of the path? And what are the kind of levers in terms of synergies that you expect to extract to sort of hit the milestones for the Nets kind of payout to be achieved? Thank you.
Paolo Bertoluzzo: Hi, Mo. And thank you for three questions. I will cover the second, and I will hand over to Bernardo -- good question. And let me try to be seated here. First of all, LAKA, as you understood for the group is about 5%, a bit less more than 10% of total revenues is about nine on total merchants about for 60%, so a total about more or less percent of total to begin with. Nevertheless, we believe it's actually an opportunity for the new Nexi in particular. And to be clear, the competition from players like the Aragorn is there. As I said before, they are very good and more focused on certain markets than others. And I'm sure they will try to move a bit more into markets on smaller players. At the same time, now, I think the good news is that in those markets -- markets were represented were very influential, and we're actually investing to build stronger in the camp of omni-channel, products and services, omni-channel integration analytic capabilities and that would continue, so you will see a nice competitive dynamic where we qualify to do it. And we will defend our turf from the back of being local, but also scale data and for being able to invest in new products and services. At the end of the day, if you wish, which one of the two of us is strong and weak at the same time based on our strategies, in a sense that the key strength plays like -- is the one platform, as it has many positives, but also a lot of limitations when you have to start playing with a smaller players, more complex player, more integrated players, and merchants and even that don't ever integrated CRMs are less sophisticated, they require a lot of follow care and so on so forth, our acquisition is the other way around. It's true we are more complex in terms of technology setup and platform so and so forth because at the end of the day it makes us quite effective in serving the local needs and being closer to the customers, being able to integrate effectively with their needs. And for example, segmenting by industry more effectively for what is relevant globally. So I think we continue to see these dynamic and each one of the two will do its best. I think the good news is that in many cases the market that is growing. Now so I'm sure that there will stay in space for players like retail or the place like us and customers will choose depending what is the prevailing need that they have. Bernardo, just to confirm.
Bernardo Mingrone : Yes. So it's I think, going back to, I think, James asked a similar question earlier on. So I can only go back to what we said earlier, we expect the fourth quarter to be better than the third quarter in terms of top line growth. And that I think, with regards to the degree of prudence industry I won't comment on that. Our guidance, we're committed to deliver it, hopefully it will do better. But that's what I'm prepared to say on that front. With regard to Nets, as I mentioned earlier, the EBITDA growth in the third quarter for Nets was 19%, 18.8%m if I remember correctly at 19% compared to 2020. I expect that to improve in the fourth quarter of this year. I think that's also implicit in what we had said some time ago how we were aiming to hit an EBITDA for Nets, which lies within the within earnout range for Nets was agreed with the sellers back at the end of last year. So this growth in EBITDA, which is obviously fueled by top line growth is also aided by the realization of synergies within that. And I think that was your question, because of synergies coming from the Nets integration. Well, those this year are, I'd say in total approximately €10 million mostly CapEx. A small portion of that would be in our fourth quarter numbers. And with regards to Nets, Paolo has already said, we're targeting €100 million of cash synergies from the three entities approximately 60% of that will be P&L synergies and the rest will be traffic synergies.
Mohammed Moawalla: Okay. Great. Thank you.
Operator: The next question is from Alberto Villa with Intermonte SIM. Please go ahead.
Alberto Villa : Hi. Good afternoon. Thank you for the presentation. I've just one question is on the buy now pay later business. Can you give us a some color on the revenues you're generating in this unit? The growth view you're expecting and if you have any thoughts on the strategy on this segment going forward, if you want to expand it or to exit or what's your thoughts on the opportunity there? Thank you very much.
Paolo Bertoluzzo: Alberto, so our strategy in the space is at the end of the day to hold now. We are happy to have these assets that is call RatePay that to be explicit is operating at the moment in German, in Germany only with potential to stand up as where some pointer entities, buy now pay later that is focused on the merchant side. And so they don't have a consumer facing strategy like the class. They really partner with the merchants or they normally white label and affordability the best possible partner for merchants as well. They are successful. The business is growing very rapidly, depending on a cork is anywhere between 50% and 100%. So, I think last quarter was about 70%, 75% and it became a sizable business. We don't provide the details of this data is getting bigger and bigger, so we're talking about tens and tens and tens of million euros per quarter now. The -- so this is one side of the strategy. At the same time, we also recognize the fact that if you want to -- if you have as your core, E-commerce strategy to providing a great acceptance to merchants, you have to be able to provide the relevant -- the locally relevant buy now pay later method, together with other alternative payment methods. And therefore, in our geographies, we're also offering more and more the possibility to use other buy now pay later methods that we partner with. And ideally, these will continue to be the way forward. Now, clearly, the other way around works as well. And therefore our company, like -- because technically our company is also partnering with other PSPs. So, in Germany, they're used by the audience that will pays, the DSPs one, the Computops and you name them. And so at the moment, we have these two parallel strategies, it is very, very clear that going forward, we'll continue to partner with more and more of them and we're IP owners off of these fast growing and sizable buy now pay later assets. Bernardo, anything else?
Bernardo Mingrone: No, you said. Q -  Okay. Thank you.
Paolo Bertoluzzo: Thank you, Bert.
Operator: The next question is from Paul Kratz with Jefferies. Please go ahead.
Paul Kratz: Hi, thank you for taking the questions. Just three questions from my end. I think firstly, when I look at your Nets figures on the presentation, that excludes volumes from [indiscernible], so it'd be helpful to maybe give us some color over how kind of the volumes looked including these figures? And if they differ materially, I guess from what you presented? The other thing that I'd also be interested in hearing, as well as on the geo-card side, appreciate the minority of your volumes in Germany, but how have the volumes of the geo-card side trended where historically, I think you guys have been actually a share gainer in that market, admittedly, relatively low base. And then I guess the final question is a little bit bigger picture. But when we start thinking about capital allocation, the combined entity and then you guys will be able to deliver the business relatively rapidly at the current pace. I mean, is there any kind of updated thoughts you have around potential M&A, whether that switches maybe more towards E-comm? Maybe looking at assets, for example, like a Computop in Germany to maybe strengthen your presence in E-comm? Thanks.
Paolo Bertoluzzo: Hi Paul. A good mix of detailed questions and super strategic ones as well. This is great. Listen on now on the first two, I think we'll come back to you with a bit more detail if it's important to you. I think in general during the second line [indiscernible] there are clearly challenges in this space. And for we want to grow into state and national get data from cannabis is coming from a position where they were mainly acquires for international schemes, a little bit like what Carta C was in Italy back five years ago, six years ago. And from there, they moved there over the last year or two into offering the full package. So, the terminal end basically acquiring across all schemes including, [indiscernible] I don't have time for the numbers but clearly, there's a space for developments. On bankruptcy, I think we'll come back to you because honestly, we don't have a precise answer. But believe me, instead of capital allocation, coming to the very strategic question, listen, our focus today is really, really, really on getting the three companies together, delivering the synergies and most importantly, building a stronger-and-stronger-and-stronger company for our customers, our people and our shareholders. Along the way, as we always said that we love, continue to consider opportunities, but it's our duty somehow about we are really, really focus on the ones that makes the absolute sense for us, I think what we've done with UBI or Alphabank is very clear. But we'll be looking at other supports we didn't do for very good reasons. But it was our duty to look at it. And I think we continue to do so, going forward. As you can imagine, we cannot talk about specific case. We take into account the fact that with the leverage and the divers will be there potentially the rest also assets that are not core and so on so forth. I will also consider putting more investments, more organic investments not because there is always this feeling that that M&A is easier than massive organic investments actually, no given where we are as a company given that no matter, we are keen to invest in geographies, such as Germany or in spaces such as eCommerce. And that is also another important area of investment. So I believe you will see our portfolio of those. But really, our focus today is now to deliver in what we have already committed to you.
Bernardo Mingrone: Just on the…
Paolo Bertoluzzo: Bernardo is trying to give you a perfect answer.
Bernardo Mingrone: And what it's really best, if we come back to you.
Paolo Bertoluzzo: Okay. Let us come back to you before we give you an answer which is not reliable.
Paul Kratz: That's truly fair. Thank you very much.
Paolo Bertoluzzo: Thank you, Paul.
Paul Kratz: Just a quick follow-up is on the divestment of non-core assets. I mean, how should we start thinking of that? Is that part of a regular portfolio review that you would do on an annual basis, or are we just talking more about, concessions that would come as a result of antitrust?
Paolo Bertoluzzo: No, no, no, no, no, I want to be very clear it. Thanks, actually, thank you for giving me the opportunity to clarify this. On the antitrust thing we like to do, because it's a request by the antitrust. But again, it's about the business is €6 million of revenues, probably $2 or $3 EBITDA declining revenues, because it's the legacy business checks and the likes. So that has nothing to do with the International Strategy. I don't even know how much that is worth. And we are doing our normal work. But we'll be talking about a very, very small thing. Instead, what is very much right is the first of what two things you said that is an ongoing and regular procedural view of our portfolio of assets to make sure that we put our resources on, and focus on energy we are working on, what is strategic for our future. And instead, we let the other assets to be owned by better owners than asset for whom they are strategic. Never forget as a benchmark data before doing even way before the company was listed actually, we did do a five or six M&A deal, where we bought stuff we did do 12 where we sold stuff. So we like to clean up as much as possible, the portfolio focus. And we'll continue to do it. And some of the pieces that we loss them, so we would love to continue to have them, but actually it doesn't make sense for them. And for our service, I think it's very rational, I think we always need to be very rigorous. We -- very continued to be very examine [ph] and look at what, for example, also Nexi’s when they sold their corporate services and instant key services to MasterCard, by the way it’s a very interesting and attractive valuation and we will continue to do so. I think it's good discipline. We’ll try to give you an update on these ideally in February together with the outcomes for the New Year.
Paul Kratz: That's really good. Thank you very much.
Operator: The next question is from Alexandre Faure with Exane BNP Paribas. Please go ahead.
Alexandre Faure: Hi, good afternoon. Thanks for squeezing me in. I had a couple of questions. One is going back on your own alternate payment method you need to account in Poland or rate phase in Germany. I was wondering if you could go back on the economics of explaining the method, whether they're accretive to your tax rate for instance. And as a side question to that, I was wondering if you view them as differentiating factors to win wallet share with a given account have you found yourself in a position where you went to immersion to sell on the right page and ended up selling, a much wider range of services. So that would be my first two part question. Second question is on Italy, this time I think you mentioned in the past, I guess, quite a bit of appetite to digital payments in Italy, at least on the consumer side, I was wondering if you have your own initiative to perhaps lower exit costs for merchant and the company has transitioned to digital in new pricing plans, low cost terminals. Any specific initiatives you're pushing as we go into 2020? Thank you.
Paolo Bertoluzzo: Hi, Aleksandra. So I understand APN both economics and strategy and Italy who are doing anything to lower capital costs for merchants. Listen, let me start from the second one, around Italy, I think the good news for merchants actually, is that prices are structurally going down in our sector, it's absolutely normal because when volumes go up, unitary prices go down. It's almost a law of economics unless you have monopolies or duopolies, which is not the case in our industry that is very competitive. The good news is that the combination of volume growth and unitary prices going down is positive. And on top of it, you also have value added service. So, prices tend to go down as is always happened. If you like the one thing that you're doing more proactively and this is driven by company dynamics is also to design propositions for the merchants, which are newer to these products and services, not the typical new to card segment, and we're offering a nicer entry levels, almost try and that was situations we believe is important, although it is not necessarily on the rate because a customer who is new to card, doesn't know how much do we use. So for them the barrier to entry is more determined. And that's where we launched as well, the mobile POS terminal, that doesn't have a fixed rate per month, but is basically as one-off depending on the campaign, and so on and so forth is normally below €50, €49. But again, with a higher merchant fee and then we upgrade the merchant to a proposition is more suited for higher volumes. When it comes instead on the APM methods and so and so forth. Let me try to give you the overview and Bernardo can help you in comments a bit better. First of all, economics, clearly the economics are very different. If you're talking about APM that you own or APMs that you distribute and your partner with, we should distinguish in between account to account and Buy Now Pay Later for the ones that you own. Buy now pay later has an amazing growth. Profitability wise is actually lower because obviously it comes with a certain cost, but it's very much under control, but it's actually material and by the way, in a specific case Ratepay is also investing in growth as well as every other player in the industry, I'm sure you've seen the numbers from some of these peers. And they're quite explicit about it, actually Ratepay is profitable, this has been used, but keep on investing in growth. Accounts to account is normally more profitable. There is a cost to develop the ecosystem, because it's a two-sided business model, you have to sell it to the consumer and sell it to the merchant. Once this ecosystem is develop, normally it comes with a nice variable margin. You said when you distribute you clearly any type of deal to be honest with you. The more you are the one facing the customer and distributing to the customer, the better the economic side, if it is just a technical integration, then your economics are much lighter. But actually, for some of them, the economics are quite compatible with the ones that we have on cards to be clear. And I cannot give you a specific example, because I could but I cannot in terms of disclosure. But what I have in mind at least a couple of examples where economics are exactly one in Italy and one in another place where economics are basically the same that we have on card. But on strategy, I think I’m not sure I understand exactly your question because the communication was not very clean. But if your question is how do you guys balance on the strategy whenever strongly APM, do I give it to everybody to expand it or do I monetize it by differentiating myself as on the acceptance side? I think that's a very, very, very relevant strategic question that does not have one answer. That is always the same by product and by market because it really depends on the specific market dynamics. But again, if I use the example I said before on Buy Now Pay Later, it's quite clear, Ratepay is a Buy Now Pay Later acceptance method on basically every merchant, e-commerce merchants sorry e-commerce acquire e-commerce PSP in Germany, why because we have a lower market share. And therefore, if we were leaving it only to us it will be too much of restrictions for the full potential of the product. Maybe in another market with a different starting competitive position market share, we go in a different direction.
Bernardo Mingrone: So on the margin yeah. So I think we need to distinguish as Paolo did the three in accounts to accounts and BNPL. Starting with BNPL, we should rethink that it is a different product in different business. So terms of the margin accretion or the take rate accretion, it really depends where you cut the P&L, because its -- there is a cost of risk element there that you have in the NPL, but not in account to account. So take rates will be higher. But then if you go to the very bottom line, right now, obviously, as you've seen in some of the other larger listed also players in the NPL space, you have the cost of risk element that you need to take into account. Whereas account to account, to think in terms of top line you should think of it as being priced in various geographies in which at present more centric through domestic rails. But depending on how lean or efficient they are, with the margin being similar to what card acquirer could be in that same market. So in terms of margins, it shouldn't be diluted.
Alexandre Faure: Got it. Thank you. Thanks very much for all the color here.
Operator: The next question is from Simonetta Chiriotti with Mediobanca. Please, go ahead.
Simonetta Chiriotti: Hi. Good afternoon. Just a quick question on synergies. During the presentation of the first half results, you mentioned the possibility of increasing synergies by 10% in the long term. Is it something that you are still considering possible? Thank you.
Paolo Bertoluzzo: Hi, Simonetta. This, as a short answer, yes.
Simonetta Chiriotti: Good.
Paolo Bertoluzzo: Yes, absolutely. I mean, we -- as we were defining better and better plans, that’s the reason why last time we gave you these highlights. This time, we're giving you our outlook for next year. We will continue to do it. We will continue to update the more we have visibility. To be honest with you, it goes in phases, in the sense that we had -- obviously, when we get close two deals, we had our own view that was outside-in on the opportunities. Then as we're closing the deals, we do our first round of inside-out view of the opportunities in the long term. And then we go into the more year-by-year detail plans. So this is a little bit what is happening. We'll continue to keep you updated. But the short answer is, yes.
Simonetta Chiriotti: Thank you.
Operator: The next question is from Antonin Baudry with HSBC. Please go ahead.
Antonin Baudry: Hi. Good afternoon, everyone. And thank you for taking my question. Two, if I may. I would like to -- I would want to have your view on the current macroeconomic environment and especially inflation. We see inflation coming in the U.S. and certainly in Europe soon. So how do you see inflation impacting your revenue growth? I mean, your revenue is directly related to value of transaction, at the same time inflation could decrease the number of transactions. So how do you see inflation on your revenue growth? My second question is about M&A. I understand that your focus will be to integrate the two acquisitions we did, but how you consider evolutions of your model to address adjustment segments like business to business, the payment for example? Thank you.
Paolo Bertoluzzo: Hi Anthony. Let me take the second one in a minute. And then I’ll pass it over to Bernardo because I'm a poor engineering and economists, so I cannot probably give you much more insightful, if we were looking at. On M&A, I think we will ever to remain focused not only on what we do, but also what we consider because also screening opportunities. We're engaging in processes that might sell some organizational costs. And we're trying to stay as much focused as we can. I reiterate probably what we said in it In the past two, the two key areas of focus for us where we engage and remain our priorities remain at the end of the day merchant. First is mainly merchant services. Now, first one being a merchant books, especially in the markets, where we already on relationships that we already have because for us, it's important to follow our banks strategies and partner with them. And this is what we've done, for example, on Ruby on Alpha bank as well, and so on. And secondary is more broadly ecommerce, both in terms of geographies and also capabilities. And if you wish, as an extension of these, you could also consider this world of a software that can be effectively integrated with payments, and is a small example of [indiscernible] is a nice one. That does not mean that we go after many of those necessarily. We will base it very, very carefully. And we really want to understand it before. We do it also, because you're in a position where in market partnerships are also very good. And therefore we want to learn more about a business, clearly e-commerce measurement channel and merchant books for us are the key areas. Bernardo?
Bernardo Mingrone: On occasion as well, thanks Paolo the economist, but give me my €0.10 cents worth, but I don't believe Europe will definitely lag the US and probably not have such a steep increase in inflation, even though it's lingering. Our view or my view is that our business is actually geared to benefit from inflation, as you were saying, two thirds of our revenues are volume driven. And most of that comes from the value of the transaction. Conversely, our cost basis is predominantly fixed. And obviously, there may be some wage price inflation. Europe tends to be secure or more resilient than the US on that front. But that should give us some protection. But more importantly, we pay our processing costs on a per transaction basis. So we'd have a nice spread between revenues growing because of volume growth. Thanks inflation. And as you were suggesting lower transaction numbers with lower core processing costs. In addition, on the capital structure front, I mentioned earlier, two quarters of our capital base is our – our fixed income capital base is effectively fixed rates. So, you know, an inflationary pressure should deflate the value of this debt so beneficial to us. And in the very short term, I think it's 1.5 billion of our liabilities are indexed to your LIBOR, but your LIBOR scores at zero, and therefore we have some absorption capacity. And that's built into our – that is overall net, net. My take is that, you know, we're net beneficiaries of any pressures.
Antonin Baudry: Thank you.
Operator: [Operator Instructions] Mr. Bertoluzzo, there are no more questions registered at this time. Do you perhaps have any closing comments?
Paolo Bertoluzzo: Well, thank you. I think that's a simple comment. Thank you for being with us. Thank you for many important questions across numbers, outlook, and strategies. Well, I think it's important to have always that at the core as well. Again, simple messages for us are continuing to evolve in recovery across all geographies. I think this is really important, strategically, not just financially for us good, strong financial performance across the board, in ratings and margin as well. And last but not least, we continue to progress in the group coming together to have a stronger company for the future across the board. So thank you very much and looking forward to see many of you over the next few days and weekend, hopefully, in person and it's great to see that some of the meetings that will be in person again. Thank you very much. Enjoy the rest of the day.